Operator: Good day, and thank you for standing by. Welcome to the Domino's Pizza Fourth Quarter Year-end 2021 Earnings Conference Call. [Operator Instructions] Please be advised that today's conference is being recorded. [Operator Instructions]  
 I would now like to hand the conference over to your speaker today, Jenny Fouracre, Investor Relations. Please go ahead. 
Jenny Fouracre: Good morning, and thank you for joining us today for our conversation regarding the results for the fourth quarter and fiscal 2021. Today's call will feature commentary from Chief Executive Officer, Ritch Allison; from the office of CFO, Jessica Parrish; and a few words from our incoming CEO, Russell Weiner.  
 As this call is primarily for our investor audience, I ask that all members of the media and others be in listen-only mode. I want to remind everyone that the forward-looking statements in this morning's earnings release and 10-K also apply to our comments on the call today. Both of these documents are available on our website. Actual results or trends could differ materially from our forecast. For more information, please refer to the risk factors outlined in our filings with the SEC.  
 In addition, please refer to the 8-K earnings release to find disclosures and reconciliations of non-GAAP financial measures that may be referenced on today's call.  
 Our request from our coverage analysts, as always, we would like to accommodate as many of you as time permits. [Operator Instructions] Today's conference call is being webcast and is also being recorded for replay via our website.  
 With that, I'd like to turn the call over to our CEO, Ritch Allison. 
Richard Allison: Thank you, Jenny, and thanks to all of you for joining us this morning. Before getting into the details of the fourth quarter and full year 2021 results, I'd like to begin by addressing our leadership succession news announced this morning.  
 After almost 11 years at Domino's, including the last 4 years as CEO, I've announced my plans to retire from the company. With the outstanding leadership team we have in place, I believe now is the right time for me to pass the baton to the next generation of leadership. That's why I'm delighted to share that our Board of Directors has unanimously chosen our very own Russell Weiner, Chief Operating Officer and President of Domino's U.S., to become our next CEO effective May 1 of this year. I look forward to working with Russell for a smooth transition and will continue to serve as an adviser to him until I retire on July 15. There is simply no one more qualified than Russell to oversee Domino's next chapter. Russell has been a member of the Domino's family since 2008 and has been instrumental in defining and executing the strategies that have led to our success. Russell has played a pivotal leadership role driving innovation across all aspects of the Domino's brand during his tenure, including reinventing Domino's menu and advertising. As we enter a new phase of growth for the company, the Board and I believe Russell's vision, incredible passion for the brand and earned respect of our team members and franchisees, make him the right choice to take Domino's forward.  
 This morning, we also announced that after a thorough search with the assistance of an outside search firm, we have named Sandeep Reddy as the company's next CFO. We are excited to welcome Sandeep to the Domino's family, and we are confident that he will be an incredible addition to our talented leadership team.  
 As for my next chapter, my wife and I look forward to returning home to North Carolina to spend more time with our family and focus on community and philanthropic efforts that are close to our hearts. Looking ahead, I remain as confident as ever in Domino's growth prospects, and I know the company will only build on its momentum with Russell at the helm.  
 With that, I will now turn it over to Russell for some brief remarks. Russell? 
Russell Weiner: Thank you, Ritch, and good morning, everybody. I am honored and humbled to take on the role of CEO. This for me is the opportunity of a lifetime to represent a brand that I love and team members and franchisees all over the world that I respect and admire so much.  
 I'm excited to begin the next chapter of an incredible Domino's journey that started for me back in 2008, and I'm eager to build on that strong foundation we have and continue to deliver value for all of our stakeholders.  
 Domino's became the #1 pizza company in the world through a relentless focus on our customers in every aspect of their pizza experience. I'm here to tell you that, that focus is as strong as ever, and I'm excited to work with our talented leaders, our team members and franchisees to deliver the next phase of Domino's growth.  
 On behalf of Domino's colleagues around the globe, I want to thank Ritch for his leadership and incredible contributions to Domino's over the years and really on a more personal note, for the collaboration that we've had and for the friendship that we will have for a long time. I look forward to continuing to work closely with Ritch over the coming months to ensure a seamless transition.  
 I'm also really looking forward to working closely with Sandeep, who I was personally involved in hiring along with Ritch and our Board. Sandeep brings nearly 3 decades of global leadership experience in consumer-facing businesses, and I know he will be an incredible fit from both a business perspective and culture perspective.  
 With that, I'll now hand it back to Ritch to take you through the quarter and the year. Ritch? 
Richard Allison: Thanks, Russell. Overall, I'm very pleased with our 2021 results, which once again demonstrated the strength of the Domino's brand around the world. Throughout the year, we and our franchisees continue to battle through ongoing COVID-related challenges. Through the Delta wave, through the onset of Omicron near the end of the year, our franchisees, store operators and supply chain teams fought on in service of their customers, their team members and their communities across the country and around the globe.  
 As I look back on 2021, there are a few key highlights that demonstrate the continued strength and resilience of the Domino's business model. Global retail sales reached $17.8 billion in 2021, up 11.7%, excluding the impacts of foreign currency and the 53rd week compared to 2020. And that was lapping a 10.4% growth rate in 2020. When we compare back to pre-pandemic 2019, the Domino's brand grew by approximately $3.5 billion in retail sales on a global basis over the last 2 years. Now for perspective, $3.5 billion was about the size of our entire U.S. business just a decade ago in 2011, 51 years after Domino's was founded. We and our franchisees opened 1,204 net new stores in 2021, more than 3 stores per day, reaching a global store count of 18,848 at the end of the year. When combined with our 2020 store growth, we opened more than 1,800 net new stores over the last 2 years. That's in the shadow of the COVID-19 pandemic and the development difficulties and delays witnessed worldwide. This demonstrates the incredible commitment and resilience of our franchisees.  
 Our unit economics remain very strong, even in the face of rising labor and food costs. In the U.S., the average Domino's store generated more than $1.3 million in sales during 2021, while the global average approached $1 million. We currently estimate that our 2021 U.S. franchisee store EBITDA once again exceeded $170,000 per unit, and we'll have that final profitability figure for you in April.  
 International store level profitability also remained very strong with cash-on-cash returns averaging under 3 years. The strength of our business and operating model allowed us to distribute almost $1.5 billion in share buybacks and dividends, continuing our long-standing commitment of efficiently returning capital to our shareholders.  
 We also stepped up our commitment to giving back to support the communities where we live and work, from raising more than $13 million toward our 10-year $100 million pledge to St. Jude Children's Research Hospital, to awarding our first scholarships through the United Negro College Fund, among many others.  
 In 2021, we published our inaugural stewardship report, including the results of materiality assessment and our goal to achieve science-based targets and net zero emissions by 2035 and 2050, respectively, to improve our environmental footprint. In summary, the Domino's brand continues to deliver to our customers, to our franchisees, to our team members, to our shareholders and to the communities we serve.  
 I'll turn the call over now to Jessica Parrish, our Controller and Treasurer. She will take you through the details of the quarter and the year. I'll then come back to share some additional thoughts about 2021 and the year ahead. Jessica, over to you. 
Jessica Parrish: Thank you, Ritch. Congratulations to both you and Russell, and good morning to everyone on the call.  
 We are pleased to share our fourth quarter and full year 2021 results with you today. Overall, Domino's team members and franchisees around the world continue to generate healthy operating results, leading to a diluted EPS of $4.25 for Q4, which represents a 22.8% increase over our diluted EPS as adjusted in Q4 2020. As a reminder, our fourth quarter results in 2020 included an extra or a 53rd week, which is outlined in more detail as an item affecting comparability in our earnings release filed this morning.  
 Global retail sales were down 0.2% in Q4 2021 as compared to Q4 2020. However, when excluding the extra week in Q4 2020 and the negative impact of foreign currency, global retail sales grew 9%, demonstrating sustained positive momentum in both our U.S. and international businesses.  
 Breaking down total global retail sales growth, when excluding the extra week in Q4 2020, U.S. retail sales grew 4.6%, rolling over a prior year increase of 14.3%. International retail sales, excluding the extra week in Q4 2020 and the negative impact of foreign currency, grew 13.2%, rolling over a prior year increase of 9.9%.  
 Turning to comps. During Q4, we continued our streak of 112 consecutive quarters of positive international comps. Same-store sales for our international business grew 1.8%, rolling over a prior year increase of 7.3%. The international comp was driven by order growth and was partially offset by a slightly lower average ticket. Same-store sales for our U.S. business grew 1%, rolling over a prior year increase of 11.2%.  
 Breaking down the U.S. comp, our franchise business was up 1.5% in the quarter, while our company-owned stores were down 7.3%. We believe the difference in the top line performance in our company-owned stores as compared to our franchised stores was primarily due to more substantial operational challenges resulting from staffing shortages combined with more conservative price increases as compared to our franchised stores.  
 The increase in U.S. same-store sales in Q4 was driven by ticket growth as we continue to see customers order more items per transaction. The ticket comp also benefited from higher menu prices as well as increases to our delivery fee and the mix of products we sell. The increase in ticket was offset by lower order counts, which were pressured by the very challenging staffing environment which had certain operational impacts such as shortened store hours and customer service challenges in many stores, both company-owned and franchised.  
 Shifting to unit count. We and our franchisees added 89 net stores in the U.S. during Q4, consisting of 92 store openings and 3 closures. Our international business added 379 net stores in Q4 comprised of 430 store openings and 51 closures. For the full year, we and our franchisees opened 1,204 net stores, bringing our store growth levels back to a pre-pandemic pace driven by the strong cash-on-cash returns our franchisees are able to generate from our operating model.  
 Turning to revenues and operating margins. Total revenues for the fourth quarter decreased approximately $13.4 million or 1% from the prior year quarter. When excluding the $88 million in revenues attributable to the extra week in 2020, revenues were up 5.9%. This increase was driven by higher retail sales, which generated higher supply chain and global royalty revenues.  
 Our consolidated operating margin as a percentage of revenues decreased to 37.7% in Q4 from 39.5% in the prior year quarter. Supply chain operating margin as a percentage of revenues decreased to 9.6% from 11.6% in the prior year quarter. This decrease as a percentage of revenues was driven primarily by higher labor costs due to additional bonus pay and increased wage rates for our supply chain team members as well as higher food and delivery costs. Company-owned store margin as a percentage of revenues decreased to 19.7% from 21.9% in the prior year quarter, primarily due to higher food costs as a percentage of revenues. Market basket pricing to stores increased 4.7% in Q4 as compared to the prior year. As a percentage of revenues, occupancy and insurance costs were also higher year-over-year, partially offset by lower labor costs. As a reminder, we incurred additional bonus pay in the fourth quarter of last year for frontline team members. And although we did make investments in the form of higher frontline team member wage rates during 2021, we continue to experience staffing shortages in a majority of our company-owned stores.  
 G&A expenses increased approximately $1.9 million in Q4 as compared to 2020. Excluding the estimated $6 million impact of the extra week in 2020, G&A expenses increased approximately $8 million in Q4 due primarily to higher travel and event expenses as well as higher advertising costs. Other income was $34.3 million during Q4 and represented an unrealized gain recorded on our investment in DPC Dash Ltd, our master franchisee in the China market. During the quarter, as part of a private funding opportunity, we made an additional investment of $9.1 million in Dash. Accordingly, we remeasured the investments we have made in previous quarters due to the observable change in price from the valuation of the additional investments.  
 Net interest expense increased approximately $6.3 million in Q4 as compared to 2020. Excluding the estimated $3 million impact resulting from the extra week in 2020, net interest expense increased by approximately $9 million, driven by a higher average debt balance due to our recapitalization transaction completed in Q2 2021.  
 Our weighted average borrowing rate for Q4 decreased to 3.7% from 3.9% in Q4 2020 due to lower interest rates on our outstanding debt as a result of this recapitalization transaction. Our effective tax rate was 20.6% for the quarter as compared to 19.9% in Q4 2020. The effective tax rate in Q4 2021 included a 0.3 percentage point positive impact from tax benefits on equity-based compensation. This compares to a 1.8 percentage point positive impact in Q4 2020. This decrease was due to fewer stock option exercises in Q4 of this year. We expect to see continued volatility in our effective tax rate related to these tax benefits from equity-based compensation.  
 Combining all of these elements, our fourth quarter net income was up $3.8 million or 2.5% versus Q4 2020. Excluding the estimated $15 million positive impact on net income resulting from the 53rd week in 2020, net income was up $19 million or 13.9%.  
 Our diluted EPS in Q4 was $4.25 versus $3.85 from the prior year quarter. As compared to our diluted EPS as adjusted of $3.46 in Q4 2020, our diluted EPS increased 22.8%. Breaking down that $0.79 increase in our diluted EPS, the unrealized gain recognized in our investment in Dash benefited us by $0.68. Our improved operating results benefited us by $0.02. A lower diluted share count driven by share repurchases over the trailing 12 months benefited us by $0.30. Higher net interest expense negatively impacted us by $0.18, and our higher effective tax rate negatively impacted us by $0.03.  
 Transitioning from Q4 to the full year, I would like to hit on a few financial highlights for 2021. When excluding the extra week in 2020 and the positive impact of foreign currency, our global retail sales grew 11.7% during 2021. Same-store sales for the U.S. grew 3.5%, and same-store sales for our international division grew 8%. We and our franchisees opened more than 1,200 stores globally or more than 3 stores per day on average. We came within our 2021 annual outlook measures on the increase in our store food basket, the impact of changes in foreign currency exchange rates and royalty revenues and capital expenditures. Our full year G&A came in at $428 million, which was $3 million over our 2021 G&A outlook measure due to higher performance-based compensation expense.  
 We also completed a $1.85 billion recapitalization transaction at favorable interest rates and returned $1 billion to shareholders through an accelerated share repurchase transaction.  
 Our continued sales growth led to a healthy increase in our diluted EPS year-over-year and strong and consistent free cash flow generation. During 2021, we generated net cash provided by operating activities of approximately $654 million. After deducting for capital expenditures of approximately $94 million, which included investments in our technology initiatives such as our next-generation point-of-sale system and investments in our supply chain centers, we generated free cash flow of approximately $560 million, up more than 36% from our pre-pandemic fiscal 2019 free cash flow generation. Combined with the net proceeds from our 2021 recapitalization transaction, our strong free cash flow generation allowed us to continue our long-term commitment to returning cash to shareholders.  
 During 2021, we repurchased and retired approximately 2.9 million shares for $1.3 billion or an average price of $453 per share. As of the end of Q4, we had approximately $704 million remaining under our current Board authorization for share repurchases. Subsequent to the end of the quarter, we have repurchased and retired an additional 101,000 shares for approximately $48 million or an average price of $473 per share. We also returned $139 million to our shareholders during 2021 in the form of $0.94 per share quarterly dividend payment, including 2 dividend payments totaling $68 million that were paid in the fourth quarter.  
 As we move into 2022, we are pleased to announce that our Board of Directors has declared a quarterly dividend of $1.10 per share to be paid on March 30, representing an increase of 17% over our prior quarterly dividend amount.  
 Looking forward to 2022, we would also like to provide an update on the 2022 annual outlook items that we communicated in mid-January. We currently project that the store food basket within our U.S. system will be up 8% to 10% as compared to 2021 levels. We previously told you that we estimated that changes in foreign currency exchange rates could have a $4 million to $8 million negative impact on royalty revenues in 2022 as compared to 2021. Based on the current outlook, we now estimate that this could be an $8 million to $12 million negative impact. We expect that we may continue to see volatility in this outlook as there are many uncontrollable factors that drive the underlying exchange rates.  
 We anticipate that our CapEx investments will be approximately $120 million as we continue to invest in strategically growing our business, including in our supply chain centers, technology and new corporate stores. We expect our G&A expense to be in the range of $445 million to $455 million. Keep in mind that these metrics can change based on economic and other factors outside of our control and may vary depending on our performance and strategic opportunities.  
 In closing, our business continued its solid performance during the fourth quarter, and we are proud of the results our franchisees and team members around the world delivered. 
 Thank you all for joining the call today. And now I will turn it back over to Ritch. 
Richard Allison: Thanks, Jessica. I'll begin my comments with a look at our U.S. business. Domino's 2021 U.S. retail sales, excluding the impact of the 53rd week of 2020, were up 6.7%, rolling over 15% retail sales growth in 2020, representing a 21.7% 2-year increase. Fourth quarter U.S. retail sales grew 4.6%, excluding the impact of the 53rd week, lapping a 14.3% increase from Q4 2020. 
 Our fourth quarter same-store sales growth of 1% was enhanced by the positive impact of 205 net new stores that we opened throughout the year. There were also headwinds in the quarter driven by ongoing staffing challenges, particularly in our delivery business. These challenges were more pronounced at the end of the quarter due to the Omicron surge. 
 Let's take a few minutes to further break down the U.S. retail sales growth into its 2 components, store growth and same-store sales. 89 net new U.S. stores in Q4 brought us our franchisees to 205 net new stores for the full year. U.S. store growth in 2021 was softer than we would like to see, particularly given the continuing strong franchisee store-level EBITDA. While cash-on-cash returns remain very strong, and we continue to see a robust pipeline of future openings, we and our franchisees had a number of store openings delayed in 2021 due to a variety of factors. We experienced slowdowns in permitting inspections and equipment deliveries as well as delays in construction and utility hookups. The aforementioned staffing challenges also impacted some store openings. We remain bullish on the unit growth potential in the U.S. but believe that we may continue to see some of these challenges persist in the quarters ahead. 
 Let's turn now to same-store sales. As we continue to experience COVID overlaps, we believe it remains instructive to look at the cumulative stack of comparable U.S. same-store sales anchored back to 2019 as a pre-COVID baseline and will continue to do so for as long as we believe it is useful in understanding our business performance. 
 Our 2-year stack for Q4 was 12.2% and the 2-year stack for full year 2021 was 15%. We saw a sequential decline in the Q4 2-year stack when compared to Q3. As we look back across 2021 and interpret our results, several things evolve throughout the course of the year, which we believe contributed to this sequential decline. 
 First, we believe that government stimulus had a material impact on our sales in Q1 and Q2 2021 that waned in the third and fourth quarters as we moved further away from the onetime payments and other enhanced government benefits tapered off over the course of the year. 
 Second, we saw staffing challenges intensify across the country as the year progressed, resulting in reduced operating hours and other service-related challenges in many stores across the network. We saw that urban markets were generally more impacted than our rural markets. We believe these staffing challenges posed a more significant headwind on orders and sales during Q4 than they did during Q3 and much more so than in the first half of the year. 
 When we break our U.S. stores down into quintiles based on staffing levels relative to a fully staffed store and then compare their sales performance in the fourth quarter, it gives us a sense for the magnitude of the impact that staffing is having on our U.S. business. Stores in the top 20%, those that are essentially or close to fully staffed, produced an average Q4 same-store sales increase of almost 6%. By contrast, stores in the bottom 20%, those that are facing the most significant labor shortages, saw Q4 same-store sales decrease by an average of almost 7%. 
 When we look across the U.S. business, we continue to believe that consumer demand for Domino's remains very strong across the country. It is our current capacity to serve that strong demand that we believe presents one of our largest near-term challenges. 
 We and our franchisees are taking a number of actions to address the staffing issues and to expand that capacity. A new applicant tracking system that we rolled out a few months ago has made it easier for candidates to apply for openings and to be onboarded at both corporate and franchise locations across the U.S. system. 
 We are also sharing operational best practices to eliminate unnecessary and time-consuming tasks in the operation of our stores, tasks like pre-folding boxes that could drive both team member and customer satisfaction. We now have over 2/3 of our stores who are not pre-folding boxes, saving an estimated 30 to 40 hours per store per week in labor. The objective of this initiative is to keep drivers in their cars and on the road while working as much as possible. 
 In our corporate stores during 2021, we rolled out increases in team member compensation and benefits totaling more than $6 million over and above required minimum wage increases. In 2022, we are currently anticipating committing an incremental $8 million investment in team member wages over and above required 2022 minimum wage increases in our corporate stores. Looking back to 2019, we will have invested over $30 million in frontline wage and benefit enhancements in our corporate stores. We are also implementing new approaches to team member onboarding, training and development to improve the employee value proposition. 
 While I'm optimistic about the efforts that we and our franchisees have underway, including a great new hiring ad that features one of our terrific young franchisees, we believe that delivery driver staffing may remain a significant challenge in the near term as the labor market continues to evolve. We are conducting a full assessment of the driver labor market and potential additional actions to relieve the existing constraints on our business. 
 Now I'll turn and share a few thoughts specifically about the carryout and delivery businesses. The carryout business was very strong in Q4, with U.S. carryout same-store sales approaching 10% positive compared to 2020, driven by both ticket and order growth. On a 2-year basis, our carryout same-store sales were up over 16% versus Q4 2019. 
 We drove greater awareness of Domino's Carside Delivery during the fourth quarter through our Carside Delivery 2-minute guarantee. I continue to be pleased with our Carside Delivery performance. Our research shows that it is appealing to both existing and new customers. And we have consistently averaged below 2 minutes out the door and on our way to our customers' cars. During the fourth quarter, we went on air to launch 3 great new products to support our signature $7.99 carryout offer. We call them Dips & Twists, and they hit the mark for great taste and consumer appeal with terrific economics for our franchisees. Results indicate that these products contributed meaningfully to our carryout ticket growth in the fourth quarter as many customers added these incremental items to their orders, resulting in the smart ticket growth we've been so focused on driving. 
 During our recent presentation at ICR, I also highlighted a change for 2022 to our $7.99 carryout offer that recently went into effect. As of January 31, this national offer is now available online only. This supports a balanced approach of bringing value and a great experience to our customers online while supporting our goals of growing the digital carryout business and supporting the profitability of our carryout orders. Online carryout orders generate a higher ticket and require a lower cost to serve than phone carryout orders, in addition to driving digital engagement and the opportunity to add members to our loyalty program. 
 Most recently, we launched a fund campaign to support this transition to online carryout for our customers by offering a $3 tip for each online carryout order. This approach also aims to drive repeat purchases as the tip comes in the form of a coupon that the customer can use on their next order. 
 Turning to the delivery business. Q4 delivery same-store sales declined relative to 2020, driven by order count declines, which were offset in part by higher ticket. Looking at the business on a 2-year stack, Q4 delivery sales remained almost 10% above Q4 2019 levels. We believe that the staffing challenges that I referenced earlier had a disproportionate impact on our delivery business in Q4. 
 During the fourth quarter, we continued our Surprise Frees ad campaign to support our delivery business that played on a key tension that consumers have with third-party delivery apps. The Surprise Frees that are often charged for service or small orders or simply because you live in a certain ZIP code. This campaign supported 2 of our key brand attributes, value and transparency. Over the course of the campaign, Domino's and our franchisees gave away over $50 million worth of Surprise Frees to our delivery customers. 
 We and our franchisees also gave back to local independent restaurants in our communities across the country. Many of our customers received gift cards with their Domino's orders that could be used to buy directly from local restaurants that have been hurt by rising costs, including fees charged by third-party apps. As we look forward into 2022 and the inflationary forces across the U.S. economy, we expect to face unprecedented cost pressures on our U.S. business. As Jessica mentioned, we estimate that our food basket will increase 8% to 10% versus 2021, and we anticipate that increase will be even more pronounced in the first half of 2022. 
 As I mentioned earlier, we also expect to make significant incremental labor investments in our corporate stores this year, and we believe many franchisees will be facing similar cost increases in their businesses. These costs put particular pressure on the delivery business due to the more labor-intensive nature of that service method. Managing through this cost inflation requires the same balanced approach that we have successfully executed over the last decade. We must continue to offer great value to our customers while giving our franchisees the tools to profitably grow their businesses over the long term. 
 It's with that balance in mind that on March 14, we will evolve our $5.99 Mix & Match offer for the first time in over 12 years. We will bring more value to our customers by adding 3 great products to the Mix & Match menu: 32-piece parmesan bread bites, 6-piece wings and 3-piece chocolate lava cakes. Customers will now have even more variety with more than a dozen items to choose from as they assemble their meals. Historically, when we have added items to the Mix & Match menu, we have seen positive impacts on ticket as customers add more items to their orders. 
 To ensure that Mix & Match can still drive value for our franchisees, we will replace the current single national offer with 2 separate offers. Our delivery Mix & Match offer will be $6.99 each for any 2 or more items on the Mix & Match menu. We believe that $6.99 is still a great relative value for our delivery customers, offering variety, great taste and a competitive price while also reflecting the increased costs inherent in a delivery order. This approach can allow our franchisees to achieve balanced growth across ticket and orders, which is key to driving profitable long-term growth for their businesses. 
 Our carryout Mix & Match offer will remain unchanged at $5.99 each for any 2 or more items on the Mix & Match menu. This allows us to continue offering the same familiar price point with enhanced variety and great value to our carryout customers as we look to continue growing that important and lower cost-to-serve business channel. 
 Rounding out the fourth quarter, we made continued progress in our U.S. business across several important areas. Our digital sales growth continued, accounting for $6.6 billion in U.S. retail sales in 2021, an increase of over 36% since 2019. We surpassed 29 million active members in our Piece of the Pie loyalty program and now have almost 70 million customers enrolled in our loyalty database. 
 We broke ground on a new supply chain center in Indiana, which we expect to complete by the end of 2022, and we are now running permanent installations of our new PULSE point-of-sale system in 5 stores right here in Michigan. We are excited about accelerating this rollout in 2022 and beyond. 
 Now as you know, it is not our practice to provide intra-quarter updates. But before we close our discussion of the U.S. business, I'd like to take a minute to share that the increased staffing headwinds we and our franchisees saw late in the fourth quarter have continued as we begin 2022. COVID, and specifically the Omicron variant, impacted us significantly in January, with the resulting staffing impacts putting more pressure on our U.S. business than we saw on average across the fourth quarter. These labor constraints, in particular, among delivery drivers, have encumbered our and franchisees' ability to take and service all of the orders coming into our stores. When we look at our 1- and 2-year trends, the limitation on order capacity resulting from these labor constraints, combined with the absence of government stimulus in 2022 as compared to Q1 2021, have created a challenging backdrop to date for U.S. sales comps in the first quarter of this year. 
 We believe that the sales we saw in Q4 2021 and have seen so far in 2022 for the U.S. business are not indicative of the demand our great brand is capable of generating. That demand gives us confidence about our ability to drive long-term growth once we adequately address these labor constraints. 
 Consistent with what we saw in the fourth quarter, well staffed stores continue to outperform those that are not by similarly wide margin. And when we look at the carryout and delivery businesses, carryout has remained much stronger than the more labor constrained delivery business. As I mentioned earlier, we believe that delivery driver staffing may remain a significant challenge in the near term. As the labor market continues to evolve, we are conducting a full assessment of the driver labor market and potential additional actions to relieve the existing constraints on our business. 
 We and our franchisees remain laser focused on relieving the labor capacity constraints and continuing to grow the Domino's brand as we have for many consecutive years. 
 I'll end the U.S. discussion with a big thank you to our U.S. franchisees, our corporate store operators and our supply chain team for their ongoing efforts to serve their customers, their team members and their communities in a challenging operating environment. 
 I'll now turn my attention to our international business. And before I speak about the quarter and the year, I just want to send out our best wishes and prayers to our team members and their families in Ukraine. 
 It was another strong quarter of performance for our international business. Our 13.2% international retail sales growth, excluding foreign currency impact and the impact of the 53rd week, lapped our 9.9% growth in Q4 2020, combining to deliver a 2-year stack of 23.1%. Q4 same-store sales were positive at 1.8%. While this is a sequential deceleration from Q3, we are encouraged that this growth was driven entirely by order count increases as our franchisees continue to provide great value to their customers globally. 
 For the full year, excluding the impact of foreign currency in the 53rd week of 2020, Domino's international retail sales grew by 17.1%, our strongest result since 2016. As previously shared, we are continuing to watch the 2-year stacks across both the U.S. and international, and 2021 represented a 23% international retail sales 2-year stack relative to 2019. 
 A clear highlight for the quarter and the year was the outstanding store growth momentum that continued to build across our international business. Our international franchisees demonstrated their strong commitment to growth by opening 379 net new stores in Q4, bringing our full year total to 999 net new stores. When we back out the conversion of Dominion Pizza in Poland, our 999 net new international stores included 950 net new organic stores. That's a new record for our international business. This continued acceleration of international store growth, combined with our U.S. store growth, has driven the global pace of store growth to 6.8% for the full year 2021, aligning nicely with our 2- to 3-year outlook range of 6% to 8%. 
 Our 430 international gross openings and 51 closures during the fourth quarter brought our totals for the year to 1,094 gross openings and 95 closures. This low level of store closures was driven by continued and strengthening store-level economics and related cash-on-cash returns. 
 Importantly, the few individual markets that closed more than a handful of stores each were among our highest net store growth markets. Many of these closed stores were in atypical locations such as office parks and malls and had significantly lower order counts than average. Closing these stores now, while opening new stores in more ideal locations, creates a stronger foundation for continued growth in 2022 and beyond. At the end of the quarter, we estimate that Domino's had fewer than 50 temporary COVID-related store closures, with the majority of those located in India. 
 I'll now highlight a few international markets of note. In the U.K., our master franchisee, DPG, announced in December a new deal with its sub-franchisees after 2 years of negotiations. The agreement calls for DPG to invest over GBP 20 million and improves alignment between DPG and its sub-franchisees on marketing and promotions, enabling a balanced approach to customer value and franchisee economics. Importantly, the agreement also calls for DPG and its franchisees to increase store openings to 45 annually over the next 3 years. As our largest market by retail sales outside the U.S., we are encouraged by this agreement and the future growth that it can unlock. 
 I also want to highlight several of the BRIC markets, which are a significant source of current and future growth. India continued its impressive store growth from Q3 into Q4, leading our international markets, both for the fourth quarter and for the full year in net new store growth. Accompanying the strong store growth was solid same-store sales growth driven by order counts. 
 Our master franchisee, Jubilant, continues to invest in the business and set a higher bar for growth, while also taking care of their people throughout the ongoing COVID challenges. Subsequent to the quarter, Jubilant opened the 1,500th Domino's store in India. By far, our largest international market by store count, this was an incredible milestone for the brand in India. 
 As I highlighted on previous calls, we continue to see strong results coming out of China including more than 100 net new stores opened in 2021. As mentioned at ICR, China is now estimated to have a full market potential of over 5,000 stores. Fourth quarter results were very strong with a double-digit same-store sales increase and continued store growth momentum. 
 Domino's Brazil was also a highlight in Q4, opening 18 new stores in a difficult macroeconomic environment. That marks 100 net new stores that our master franchisee, Vinci Partners, has opened since acquiring the brand at the end of 2018. We've been impressed with Vinci's ability to drive growth in the market and are very excited about the potential for them to continue expanding the Domino's brand. Brazil is estimated to have a full market potential of over 1,000 Domino's stores. 
 In addition to those markets, we saw a strong continued regional growth in the Middle East from our master franchisee, Alamar, and the 11 markets in which they operate. Alamar recently achieved a great milestone with the opening of their 500th Domino's store. 
 Mexico, Spain, Turkey, Malaysia and Australia were additional large market highlights contributing to our global growth. Our master franchisees have once again reinforced my belief that we have the best partners in the restaurant industry. With an estimated remaining potential of over 10,000 new stores in our top 15 international markets alone, we look forward to continuing to work with them to drive long-term global growth for Domino's. 
 In closing, I'm very proud of the results we and our franchisees delivered in 2021, particularly when we consider the persistence of the COVID-19 pandemic and the continued challenging operating environment. Our proven model for success, leading with innovation, leveraging our global scale and driving superior returns for our shareholders has continued to guide us. 
 We have adapted to the ever-changing environment. We've grown sales, increased our global store count, invested in our people and driven returns for our franchisees and shareholders, all while staying true to our values as an organization. I am proud of our franchisees and team members who once again proved to me that they are the best in the restaurant business. 
 As we look ahead to 2022, we will work through the near-term challenges while remaining diligently focused on delivering for our customers, our team members, our franchisees, our communities and our shareholders. We have a long track record of profitable growth, driven by a powerful global brand and a disciplined operating model. This durable foundation gives me a great deal of confidence in our ability to continue to grow the Domino's brand over the long term. 
 I'll end my remarks this morning with a heartfelt thank you to our franchisees and team members across the globe. My team and I are proud to serve you each and every day. And I thank all of you again for joining us on the call today, and we'll now be happy to take your questions. 
Operator: [Operator Instructions] Our first question will come from the line of Brian Bittner from Oppenheimer. 
Brian Bittner: Ritch, congratulations on all your success at Domino's the last 11 years. And Russell, obviously, congratulations as you step into the new role here. Ritch, I'd like to ask you about the staffing trends and the ongoing impact. You suggested about a 13% difference in comp trend between fully staffed stores and your lower staff stores so that quantification is very appreciated as we try to understand the impact here. 
 As Omicron has peaked and arguably passed, are you seeing any improvement recently in staffing? Or did COVID maybe drive a more structural staffing issue that could remain meaningful as the year progresses regardless of the COVID environment? 
 And I just have a quick clarification question. Just as it relates to the price point change to $6.99 on the delivery Mix & Match, is there any way you can help us understand how that impacts effective pricing for the U.S. business on a year-over-year basis as that is implemented? 
Richard Allison: Thanks, Brian. I appreciate your thoughts. And as it relates to the staffing trends of the business, certainly, as I highlighted earlier, during the last couple of weeks in December and during the month of January, we saw a significant shock from Omicron resulting in lots of call-outs, team members at home and more impact in terms of reduced operating hours in our stores. 
 Over the course of February, we've certainly seen some stabilization. We've seen some improvement in applications, and we've seen some improvement in our delivery times and ability to serve our customers, but a big shock in late December and during the month of January. 
 The second part of your question there around staffing related to, more broadly, the COVID impact or the shifts in the labor market. Certainly, we still saw during the fourth quarter and still feel today that underlying impact of some of the structural shifts in the labor market. And that's a big part of what we and our franchisees are focused on going forward. 
 And as I mentioned earlier, we're doing a broader assessment of that labor market today to understand beyond the things that we're doing today, what additional actions might we be able to take to further alleviate some of those staffing challenges for the long term. 
 And Brian, to your question on $6.99, and I want to make sure I heard it correctly, but the basic construct of what we are going with going forward will be to change the price on our Mix & Match for delivery orders only. So we'll be dividing that coupon into 2 parts, $6.99 for delivery and $5.99 for our carryout customers. So the increase in price there will, to your question on effective pricing, it will effectively apply just to the delivery orders that come through the national coupon. 
Operator: Our next question will come from the line of Peter Saleh from BTIG. 
Peter Saleh: Great. And congrats to both of you, Ritch and Russell. I just wanted to ask, Ritch, on multiple occasions, you said potential additional actions on labor. Can you just elaborate a little bit on what you're planning or thinking about there if this situation continues to be more challenging? 
Richard Allison: Yes, Pete, thanks for the question. So as I highlighted earlier, there are a number of actions that we've taken and that we are continuing to take. Certainly, we've done a lot with respect to team member wages and benefits, and we'll be bringing more around wages in 2022 relative to 2021. 
 We're also taking a look as we look forward at what are the other ways that we can make these delivery driver jobs more appealing and more lucrative to our drivers. So we've taken some action to take other tasks away from delivery drivers to enable them to stay in their cars as much as possible during their shifts, and therefore, to get more deliveries per hour at more tips. 
 In our best-run stores today, during the rush, you won't see a delivery driver come into the store. We are running pizzas out to cars, to load them up, so drivers can stay on the road. So that's a key action that we are taking, and we are expanding more broadly across our system. 
 And then beyond that, as we think about future things that we could do, we're taking a look at what are the options that we have to make these jobs more flexible for our drivers relative to our -- the more historic approaches of how we've scheduled a staff delivery drivers. So we're looking at a range of options across the board and as we work really hard to make sure that we can continue to have the capacity to serve our customers and also make these great jobs because, ultimately, these are the jobs that lead to franchisees. 95% of our U.S. franchisees started off delivering pizza. So we got to make sure we're still attracting a great labor force to be the franchisees of the future. 
Operator: Our next question will come from the line of Chris O'Cull from Stifel. 
Christopher O'Cull: Ritch, can you provide some color on how you expect the value menu changes will impact transactions and maybe franchisee profitability? Maybe describe what you saw in the test markets. 
Richard Allison: Sure, Chris. So every time we look at pricing and think about changes that we may or may not make to pricing, we are always looking at it through the lenses of transactions, sales and profitability at the store level. And as we took a look at the $5.99 Mix & Match offer, which we've done every year since we launched it more than 12 years ago, we take a look at what those impacts may be. 
 We don't run test markets. We have research and analytic tools that are very predictive, have been predictive in the past of the outcomes that we ultimately get. And so as we made the decision alongside our franchisees to shift the delivery Mix & Match offer to $6.99, it is absolutely with the goal of continuing to drive balanced growth of transactions, of sales and of profitability. Because we know -- we've seen it in the U.S. We've seen it around the world. The only long-term way to continue driving profitability in the business is to make sure that we're continuing to be more relevant to customers and driving more transactions. 
Christopher O'Cull: Wish you well in retirement. 
Richard Allison: Thank you. 
Operator: Our next question will come from the line now of Sara Senatore from Bank of America. 
Sara Senatore: Great. Just I wanted to ask about the U.S. and the idea of perhaps looking at retail sales versus just same-store sales or stacks. I noticed that the retail sales growth ex the 53rd week was actually better, it looked like to mean 4Q than 3Q even if your 2-year comp trend perhaps slowed. So is there any evidence that we should be thinking about it from the perspective of new units, either transferring sales from existing restaurants or even competition for drivers? I guess anything that maybe can balance how we think about overall sales growth for the system versus perhaps same-store sales? 
 And then just a clarification, you saw the opposite dynamic in international markets in terms of traffic versus ticket. Is there something specific that might have weighed on ticket in international markets, either mix or less pricing? Just trying to understand since that dynamic seems the opposite of the U.S. 
Richard Allison: Sure, Sara. To your question on retail sales versus same-store sales, I can tell you that inside the business here and across the management team, retail sales is what we pay the most attention to because it really does drive the economics in our business. It drives royalties. It drives the transaction fees. It drives sales through our supply chain centers. And ultimately, at the franchisee level, it drives profitability for the -- for our franchisees' enterprises. So that's how we look at it. 
 And we look at it -- we look at same-store sales and store growth as the components that ultimately drive that. And that's why when we've talked over the years about our strategies around fortressing the markets that we operate in, it really is about driving retail sales because we're willing to give up some same-store sales in cases where we feel like building new stores and getting closer to the customer can ultimately drive better economics for the franchisees. 
 And then taking a look at international same-store sales, it was more driven this time around by transactions. And what I can tell you is the dynamics vary quite considerably when you look across each of the 94 markets that we operate in outside the U.S. So there's not really one answer for you there, Sara, just simply that when we roll it all up, there was a preponderance of the markets that were driving more of their growth through transactions. And in most of those cases, it centers a lot around the fact that they're doing a really good job of making sure that they're bringing value to our customers and holding the line there, which ultimately enables us to drive more transaction growth. 
Operator: Our next question will come from the line of Brian Mullan from Deutsche Bank. 
Brian Mullan: Just echo the congrats to Ritch on a great career at Domino's. Russell, congrats on the new role. 
 One thing you talked about last quarter in reference to staffing challenges was that it prohibited you from being more aggressive on certain promotional activities. So I guess, one, is it safe to assume this remained the case in the fourth quarter? And then two, with your comments on February stabilizing a bit perhaps, I'm curious if staffing is starting to get back to a place or will soon where you anticipate being able to run some more promotional activity going forward? If you could just describe the relationship between staffing and your promotional activities. 
Richard Allison: Sure, Brian. Thanks for the question. It's absolutely related because one of the things that we don't want to do is, if we're in a constrained staffing environment, we don't want to drive bad customer experiences. And so we have been more conservative about aggressive promotions in the face of some of the staffing challenges that we've had. 
 We've seen some stabilization in February, as I mentioned earlier, and we are optimistic that through the current and future efforts of ourselves and our franchisees, that we'll get staffing back to a level where we can return to some of our more aggressive promotional activities because they are important as we think about how we continue to attract new customers into the Domino's brand. 
Operator: Our next question will come from the line of John Glass from Morgan Stanley. 
John Glass: Congrats both to you and Russell as well. Ritch, you mentioned a couple of times that demand remains strong. I'm just wondering how you understand or you know that just based on the comps, and you gave some tiers around staffing levels. But I suspect there's other elements in those lower staff stores that maybe they're urban, for example. So just how do you tease out the impact of staffing versus maybe some other contributing factors that may have impacted demand or if it's not a demand issue? Can you also just talk about the other levers of pricing besides the $6.99 offer? I think you said there was just some underlying menu price. Maybe what the underlying menu price on the regular menu is or delivery fees, other ways that you might be able to improve pricing besides just changing that promotional offer? 
Richard Allison: Sure, John. Thanks very much for the question. Yes. So we do feel very good about the underlying demand for Domino's Pizza. I shared with you some of those quintiles earlier where we tried to break down the stores from those that are well staffed to those that aren't. And when we take a look at it across each of those quintiles, we're able to gain visibility into where we have limited hours in stores, which is driven by staffing. 
 We can get visibility into where we've not answered the phones or where we have potentially not taken online orders, shut off online orders coming into the stores. So we can take a look at that data across each of these buckets of stores, and it gives us a good sense for where we may be failing to serve some of that incoming demand. So that gives us a sense kind of across those stores when we bucket it out. And those stores that have been well staffed, as I mentioned earlier, have continued to drive very strong same-store sales growth on both a 1- and a 2-year basis. 
 Also, John, when we take a look across the 2 businesses that we run out of each box, the carryout and the delivery businesses, the labor challenges we've had have not put as many constraints on our ability to serve carryout, and we continue to see very strong growth in that carryout segment. While it really is that delivery business that has been more constrained by driver labor. So that's another lens that we look at it through. 
 And then to your question on pricing, in addition to the national offers that we often talk about, each of our franchisees and stores has the ability to manage their own menu pricing and also to manage delivery fees at their stores. So we've seen -- in addition to seeing ticket go up through more items per basket, which is a smart ticket and we love to see that, we've also most certainly, as franchisees and stores have dealt with some of the cost pressures on the business, we have had some increases in menu and delivery fees also. And that comes into play as we think about how we evolve the national offers as well because it really is a balance across customers who want to order off the menu, order off local coupons and order off the national coupons combined with the delivery fee for those delivery customers that we're trying to balance in an effort to drive great value for the customer while also making sure that we've got a fantastic business model for our franchisees. 
Operator: Our next question will come from the line of Jared Garber from Goldman Sachs. 
Jared Garber: Certainly would echo the same congratulations to you, Ritch and to Russell. I wanted to switch topics a bit and just think about the supply chain margins. Obviously, that margin impact in the fourth quarter pretty materially versus either prior year or several prior quarters. Just wanted to get a sense of how we should be thinking about the progression of margin recovery there. Is it related to kind of continued commodity inflation but also maybe some structural labor wage inflation at those supply chain centers? 
Richard Allison: Jared, thanks for the question. And certainly, supply chain margins were under pressure in the fourth quarter. And 2022 also sets up for a challenging margin backdrop for supply chain also. 
 We've got a couple of dynamics that are going on there and you've highlighted them. One is the commodity cost increases that we're seeing, which we estimated 8% to 10% over the course of this year. As we've talked about in the past, the way we manage margins to our franchisees is basically a fixed dollar amount. So we are not -- when the underlying cost of the commodities goes up, we get natural compression there in the margins. 
 And then second, we do have costs going up on the labor side of the business as well. I talked a lot on the call earlier about some of the increased investments that we've made in our corporate stores. We've also made significant labor investments in our supply chain centers as well. And then when you combine that with the rising cost of fuel, we are seeing a fair bit of pressure on supply chain margins. 
 Now when we think about how we manage through that, we do that once again with balance in mind because we want to make sure that our supply chain continues to bring a terrific value to our franchisees, supporting the unit-level economics that we've been so proud of for so long. And the good news is we've got the scale and the wherewithal in that supply chain business to absorb some of these cost increases while still making sure that we create great unit-level economics for the franchisees. 
Operator: Our next question will come from the line of John Ivankoe from JPMorgan. 
John Ivankoe: I was surprised to not hear labor shortages with drivers internationally, especially in developed cities internationally, as maybe a constraint to fourth quarter sales. So I just wanted to make sure that, that wasn't perhaps influencing some of the fourth quarter slowdown in same-store sales. And related to that, same-store sales are often a leading indicator of development even when underlying cash and cash returns are good. Does that, I guess, optical slowdown in same-store sales in the fourth quarter and perhaps labor conditions as well, give some franchisees in some markets a little bit of pause in terms of a rate of development in fiscal '22 that they otherwise would have pursued. 
Richard Allison: John, thanks for the question. Certainly, in some of our international markets, and in particular, in some of the urban centers, certainly, we've seen some labor shortage pressures there as well. But when you step back and look at the international business in its totality across the 94 markets that we're in, the labor challenges we're seeing in international are not as pronounced as what we're seeing here in the U.S. business, different labor markets around the world have felt the strains of COVID and some of the shifts differently, governments in different markets have reacted differently with how they handle things through the course of COVID-19. But when you take a look at it in total, the challenges are more pronounced here in the U.S. than they are in the international business. 
 And then to the second part of your question around development. Certainly, same-store sales do factor in, obviously, to as they evolve over time into unit-level sales and profitability. So we're always keeping an eye on the quarterly trends, while we also keep the vast majority of our attention on the long term. But what I can tell you is that when we look across the business, both in the U.S. and in international, we still see a very robust pipeline of growth. And in fact, in the U.S. business, we did not get the store growth that we would have liked to have seen in 2021, but it wasn't because of sales, and it wasn't because of unit-level profitability. It really was around the factors that I mentioned earlier, just supply chain issues around getting equipment to the stores or getting permitting, getting inspections and things like that. 
 And then on the international side of the businesses, as I think you've seen, we've seen a dramatic ramp-up in the pace of store growth over the course of 2021. And we still feel very bullish about our opportunity to continue to grow in that 6% to 8% unit -- net unit growth range that we've communicated. 
Operator: Our last question will come from the line of Gregory Francfort from Guggenheim. 
Gregory Francfort: Ritch, can you maybe just in terms of the Mix & Match as we think about the portion of that, that could be delivery, is that going to be similar to the 2/3 of the overall business that's delivered? Or is it maybe something higher than that? 
 And then as you guys look at the margin profile of the $5.99, I'm assuming the reason to move it on the delivery orders to $6.99 was because the margins were somewhat lower. Does it put them closer to parity on those orders? 
Richard Allison: Greg, thanks for the question. I'm actually going to turn this one over to Russell, who's been at the center of the evolution of our offer here. 
Russell Weiner: Thanks, Ritch, and thanks, Greg. I think overall, when you look at our approach to pricing, hopefully, what you'll see is a really surgical approach. There was not a one size fits all here. So last call, Ritch talked about the evolution of $7.99 to online, right? When you bring that to online, we know our online carryout ticket is 25% higher than phone. So there was attention to that. We get customers' names, works with our loyalty program, the $5.99, which we've had since December of 2009, we think we can really keep that value for our carryout customers. There is a lower cost to serve there, and we're going to maintain that value. The carryout business opportunity is 2x that business in pizza than delivery. And so we want to be aggressive there. 
 Moving delivery to $6.99, again, is that surgical approach and allows us to keep the carryout offer where we need to do competitively helps us with some of the headwinds. Actually, overall, we think the $7.99, $5.99 going to $6.99, some of the menu pricing and delivery in our corporate stores, obviously, we don't have as much insight to our franchise stores, will really cover the majority of food and labor headwinds. We still need to ratchet up the efficiency a little bit. So I just want to make sure, as you think about this, it's not just $5.99. It's really this surgical holistic approach. 
Richard Allison: Great. Well, listen, I want to thank all of you for joining us on the call this morning. We look forward to speaking with you in April, where we'll have the opportunity to discuss our first quarter 2022 results. 
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect. Everyone, have a great day.